Operator: Greetings and welcome to AudioCodes's Fourth Quarter and Year End 2020 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.[Operator Instructions] It is now my pleasure to introduce Brett Maas, from Hayden IR. Thank you Brett, you may begin.
Brett Maas: Thank you. Hosting the call today are Shabtai Adlersberg, President and Chief Executive Officer; and Niran Baruch, Vice President of Finance and Chief Financial Officer. Before we begin, I'd like to remind you that the information provided during this call may contain forward-looking statements related to AudioCodes' business outlook, future economic performance, product introductions, plans and objectives related thereto, any statements assuming assumptions made or expectations as to any future events, conditions, performance, or other matters are forward-looking statements as the term is defined under U.S. Federal Securities Laws. Forward-looking statements are subject to various risks and uncertainties and other factors that could cause actual results to differ materially from those stated in such statements. These risks, uncertainties, and factors include, but are not limited to, the effect of global economic conditions in general and conditions in AudioCodes' industry and target markets in particular, shifts in supply and demand, market acceptance of new products and the demand for existing products, the impact of competitive products and pricing on AudioCodes and its customers' products and markets, the timing of product and technology developments, upgrades, and the ability to manage changes in the market conditions as needed, possible need for additional financing, the ability to satisfy covenants in the company's loan agreements, possible disruptions from acquisitions, the ability of AudioCodes to successfully integrate the products and operations of acquired companies into AudioCodes' business, possible adverse impact from COVID-19 pandemic on our business and results of operations and other factors detailed in AudioCodes' filings with the U.S. Securities and Exchange Commission. AudioCodes assumes no obligation to update this information. In addition, during the call, AudioCodes will refer to non-GAAP net income and net income per share. AudioCodes has provided a full reconciliation of the non-GAAP net income and net income per share to its net income and net income per share according to GAAP in the press release that was posted on the Website. Before I turn the call over to management, I'd like to remind everyone that this call is being recorded. An archived webcast will be made available on the Investor Relations section of the company's Website at the conclusion of the call. With that said, I would like to turn the call over to Shabtai. Shabtai, please go ahead.
Shabtai Adlersberg: Thank you, Brett. Good morning and good afternoon everybody. I would like to welcome all for the fourth quarter 2020 conference call. With me this morning is Niran Baruch, Chief Financial Officer and Vice President of Finance of AudioCodes. Niran will start off by presenting a financial overview of the quarter. I will then review the business highlights and summary for the quarter, and then trends and developments in our business and industry. We will then turn it into the Q&A session. Niran?
Niran Baruch: Thank you, Shabtai, and hello everyone. As usual, on today's call we will be referring to both GAAP and non-GAAP financial results. The earning press release, that we issued earlier this morning, contains a reconciliation of the supplemental non-GAAP financial information that I will be discussing on this call. Revenues for the fourth quarter were $58.7 million, an increase of 11.1% over the $52.8 million reported in the fourth quarter of last year. Full year 2020 revenues were $220.8 million, an increase of 10.2% over the $200.3 million reported in 2019. Services revenues for the fourth quarter were $21 million, up 19.9% over the year ago period. Services revenues in the fourth quarter accounted for 35.8% of total revenues. On an annual basis, services revenues increased by 16.7% compared to the previous year. The amount of deferred revenues as of December 31 2020 was $69.2 million, up from $62.2 million as of December 31 2019. Revenues by geographical region for the quarter were split as follows; North America 14%, EMEA 35%, Asia Pacific 19% and Central and Latin America 6%. Our top 15 customers represented an aggregate of 63% of our revenues in the fourth quarter of which 49% was attributed to our 10 largest distributors. GAAP results are as follows; gross margin for the quarter was 71.4%. Operating income for the fourth quarter was $12.1 million, compared to an operating loss of $26 million in Q4 2019. Full year 2020 operating income was $38.4 million compared to operating loss of $9.6 million in 2019. Net income for the quarter was $8.4 million or $0.24 per diluted share, compared to a net loss of $8.2 million or $0.28 per diluted share for Q4 2019. Full year 2020 net income was $27.2 million or $0.83 per diluted share, compared to $4 million or $0.13 per diluted shares in 2019. I would like to remind you that GAAP results for the fourth quarter and full year of 2019 were impacted by the expense of $32.2 million we recognized in connection with the royalty buyout agreement with the IAA. Non-GAAP results are as follows; non-GAAP gross margin for the quarter was 771.5% compared to 65.1% in Q4 2019. Non-GAAP quarterly operating income was $15.4 million or 26.2% of revenues, compared to operating income of $8.3 million in Q4 2019, an increase of 86.2%. Full year 2020 non-GAAP operating income was $47.5 million compared to operating income of $28.2 million in 2019. Non-GAAP quarterly net income was $15.2 million or $0.44 per diluted share, compared to $8.1 million or $0.26 per diluted shares in Q4 2019. Full year 2020 non-GAAP net income was $46.7 million, or $1.41 per diluted share, compared to $27.8 million or $0.80 per diluted shares in 2019. At the end of December 2020 cash, cash equivalents, bank deposits and marketable securities totaled $186.3 million. Net cash provided by operating activities was $10.1 million for the fourth quarter of 2020 and $38.5 million for 2020. Net cash provided by operating activities in both periods were impacted by the $11.6 million payment made in December 2020, which was the second installment pursuant to the royalty buyout agreement. Day’s sale outstanding as of December 31 2020 were 54 days. On January 2021, we received court approval in Israel to purchase up to an aggregate amount of $30 million of additional ordinary shares. The court approval also permits us to declare a dividend of any part of this amount. The approval is valid through July 19 2021. We continue to expect top line revenue growth and operating margin expansion in 2021. For the full 2021 year, we currently expect revenues in the range of $240 million to $250 million and non-GAAP diluted earnings per share of $1.45 to $1.65. I will now turn the call back over to Shabtai.
Shabtai Adlersberg: Thank you, Niran. We're very pleased to report record financial results for the fourth quarter and the full year 2020. Let me talk first about several major milestones achieved throughout the quarter and the full year. First and foremost is the strong financial performance, which Niran just provided a detailed description of it. I'd like to stress some of the most important achievements, which are strong expansion of our gross margin, operating margin and jump in net income, strong cash flow positive cash flow, all I'll discuss further on in the following. Then it's the evolution of our enterprise business. Now close to 80% of our business, growing 17% year-over-year. Third is the resurgence of three new growth engines for 2021 and going forward, namely Microsoft Teams, context center, and conversational AI, all in the enterprise space heading into 2021. Then it's the rapid transition before a solution in services to real time cloud communications, much was achieved in 2020. We now invest full force and accelerate investment in these areas driving the momentum into more real time cloud communication solutions. On top of this, we have substantially moved our focus in sales. So the recurring revenue model as compared to the previous years, where the majority of sales was done as CapEx transaction. To highlight this last point, in March 2020, we have announced our AudioCodes live initiative, which is a portfolio of professionally managed services designed to offer AudioCodes voice expertise products and solution to enterprises via a flexible subscription based managed service model. We have already made nice progress in the second half of 2020 and now see the momentum building up into 2021. Now let me touch on the achievements made on the financial front. Overall company top line revenue grew 10% about 10% year-over-year. However, once you break down the revenue into key segments, enterprise and service providers, one can easily see that the progress made in 2020 in the enterprise space, about 78% of our business today was substantially higher and more impressive. Enterprise business consisting mainly of Unified Communication UCaaS and contact center, grow 17% in 2020 and now provides for about 78% of the overall company revenue. We expect this annual growth rate to continue well into 2021 and beyond, for reasons I will dwell on shortly. Therefore, in our updated long term financial model for next three years, we can clearly see that the company annual top line will step up to a range of 13% to 15% growth annually, every year, in two years from today. UCaaS and contact center segments will drive this growth going forward. UCaaS is driven mainly by continued success in the Microsoft team space, where annual revenue grew by over 300% year-over-year and more than 30% compared to the third quarter of 2020. Additionally, we experienced higher than originally planned revenue coming from the contact center business, which grew over 15% in 2020. With the world adopting substantially more collaboration and work from home in the coming years, the new normal so to speak, we anticipate similar such growth in 2021 and beyond. Now, let me touch on the achievements made on the financial front to provide a more complete picture of the revenue in 2020. I'll just add that while we grew nicely on the enterprise, we didn't do so well on the service provider front and technology. I'll say that we have experienced a declining service provider as a business about which is now about 18% of business and which has declined for about 10% year-over-year, and also continuing small decline in the technology business, which now provides for about 4% of business. So 78% of business grew 17% about 22% declined, and that gives you the average of about 10% growth for the full year. Providing more color on growth in different businesses business lines in 2020 UC-SIP business line sign grew about 20% year-over-year. By the way, this would be the last time we will report numbers on UC-SIP very simply as this indicator bundles growing -- business signs such as the SBC management software and routing software together with devices and hardware appliances using the service provider space and in on-prem deployments. As these two last ones are bound to continue to suffer from the ongoing pandemic and not essential to our business we will drop the UC-SIP report. It's not going to be a good indicator to indicate our business health, we will obviously track our business through the development in our UCaaS and contact center and conversation on AI business. Revenue related to UCaaS as a whole grew close to 20% as well. All-in-all, we talking about 140 million annually at the end of 2020. Revenue related to sales of Session Border Controllers, SBC have jumped in the full score, bringing this business time very close to 100 million level for overall 2020. That's a real jump. The overall year, we sold above 40 plus percent real Cornerstone in our business going forward. Service revenue grew about 20% in the first quarter 16.7% annually. Professional managed services growing substantially faster in the mix. So lots of emphasis on managed services, professional services. Those are growing very fast actually on an annual level we talking about 30% a year, which is nice growth. Now let's talk about the growth engines, which is becoming key factor for 2021 success and beyond. Entering 2020 Microsoft on-prem Skype for Business was our main growing business. However, with the pandemic growing in impact throughout the first quarter, two new key major trends evolved for the year, collaboration and work from home. These two trends became essential to preserve business continuity and workplace productivity in the enterprise world. These trends drove as a result, accelerated transition to rhythm cloud communication, and the introduction of a series of more and new key technologies that we have developed such as WebRTC, call automation processing, intelligent assistance in virtual agents. As such, we emerge out of 2020 and add into 2021 with three new growth engines. The first and most visible one is the Microsoft Teams, which became in 2020, the fastest growing business for us, it has grown more than 300% year-over-year, and more than 30% in the last quarter over the previous quarter. Next to it, we saw accelerated growth of the activity in the contact center, where a series of disruptions in the space related to the transition to cloud supporting high quality communication for work from home agents over the open internet and the increased need for call automation and self-service drive growth in the space. Third engine is the conversational AI which has become top priority for many contact centers and need to quickly and efficiently respond and as a customer calls coming in large masses as people who have locked the term and providing a satisfactory customer experience. Now to our long term financial model, as we've mentioned before, gross margin and operating margin have demonstrated record levels in 2020. We ended the year with gross margin for the fourth quarter, it's 71.5% and 26.2% for the operating margin. By the way, talking about gross margin, we looked at into our annual performance, and I'd like to draw your attention to the progress we made in the past five years. We're at gross margin staff from about 60% back in 2015 to 68.1% in 2020. This is a result of the shift of mix for revenues from hardware appliances, more and more into software solution and services. So a very decent growth, we believe we will continue to grow in coming years. Obviously, the last quarter as I've mentioned we did 71%. Operating margin, this is the second quarter in a row where operating margin is well above the 20% level, which is kind of a mark for us. So let's talk a bit first on the longer term financial model. We believe that as we will keep progressing with our enterprise business growing above 16% a year, we believe that we will step up gradually in a matter of two three years into annual revenue growth of about 13% to 15% overall for the company. Our gross margin, we are at 68. We believe that the range we define 67 to 70, we should be able to grow beyond that at the end of this period, we would obviously work out of a strategy and actually we are defining kind of a modified strategy for 2021. We see much more value in keeping operating above 20 but still allowing a big portion of it to be applied to growth and investment. So we will not try to achieve 24%, 25% operating margin and above we will instead opt for 20% plus and then invest the remaining into developing new areas for us such as conversational AI and like. So let me go now into this specific business line or more interesting data points. Let's first let's look obviously on Microsoft business. In the fourth quarter, overall revenues were close to $30 million. This represents a growth of 18% year-over-year, and close to 15% sequentially. For the full year, we saw a nice increase of about 19% compared to 2019 combined. However, as we all know, there was a big shift in mix in Microsoft revenues between the two different collaboration solutions. Entering into 2020, we entered with about $84 million in revenue, of which about $70 million came from Skype for Business only about $13 million came from teams. That picture is substantially reversed in 2020. We're coming out with teams substantially on top teams has grown now just to give you an idea as I've mentioned 300% year-over-year looking at 13 million in 2019, we should look now into, we've done about 55 million in 2020. So that that that's big growth. Also, I'll mention that in the fourth quarter, we kept growing sequentially grew more than 30%. Skype for Business on the other end declined, declined from a level of, give or take an average of 17 million, 18 million a quarter. We ended up the last quarter with less than 10 million. So all-in-all a gradual decline. I would say that the decline is I've mentioned in previous quarter is kind of been mild. So we do expect continued decline, but obviously, in terms of absolute millions of dollars, that will be less in 2021. Now, let's talk about new accounts. So we definitely grew with large number of new Microsoft Teams accounts in 2020. On a overall annual level, I'll tell you that we have grown substantially, we've grown more than 200%, from 2019 to 2020. We have, we've seen the numbers I mean, roughly, if you look on the fourth quarter I'll give you a data point here, that about, one, one third of the accounts, where accounts migrating from Skype for Business, and about two thirds of the accounts, were actually new accounts. So all-in-all, a very nice growth on teams and new accounts. As to the future, as we kept saying, we have a very long runway ahead of us. If Microsoft 365, is now at about 270 million teams was announced to have 150 million last October, I'm confident we'll hear new numbers, as Microsoft releases their numbers today. So far, we believe it's only about 10% of the team's users have implemented voice. Very simply, we know for a fact that if Microsoft tried to become the dominant player in that market, the intention was put really more into collaboration, chats, and meetings. And voice was not a requirement. So many organization could live up with their old PBX, it could be another company PBX, one of the previous manufacturers name Avaya name, Cisco name Mitel any other, so people could stay with their PBX but still get on board with teams using the collaboration in meetings. We believe that as time goes by the benefit of using an integrated solution, all coming from Microsoft will basically drive the migration of those into Microsoft telephony solution as well, so definitely a lot of potential going forward. We have heard that customers who have standardized on Microsoft Teams really not looking back. The product is working well and has become an important part of their daily work. And we've seen in surveys that, these days in the enterprise surveys show that more than 50% already selected Microsoft Teams over the other players. And actually that number is expected to grow in about two to three days from three years from today to about 60%. More on the Microsoft business, so we have launched SBC as a service on Azure a few months ago. It is available on Microsoft marketplace in North America will soon be available in other regions as well. Basically, very, very easy for customers to get on board teams by clicking few times on the keyboard and getting connected. Also we enjoy strong activity in the field. We in several cases we also meet you know with the field that sells field stuff for Microsoft helping winning counts. Also we had a rather big investment in 2020 into expanding our meeting room offering for teams. So we just getting to market with some of our newer products in that space. We getting to market with our meeting inside, shortly, two three weeks from today .So all-in-all, definitely definitely an activity. To name few new wins in the quarter. So, we want a leader, a team's project, actually migration project from Skype for Business from one of the leaders in the financial services world. Basically, we have provided their session border controller technology in our management technology, and all-in-all, some professional services. So a nice mix about half a million project. We won a large project with a very large world leading agent, Asia Pacific service provider, where we have expanded into several of their subsidiaries. We have provided there SBC as a as a service, it's running on Azure, and we plan to expand into few more subsidiaries. We want a world leader in in chemical products for the car industry. We are working through a very large service provider who provides a fully managed service as part of their team's rollout. A lot of success. So all-in-all, a lot of activity Microsoft. Assuming that well, knowing that Microsoft is now 45% of business, right about 100 million out of the 20 -- 220 -- 2020 teams now becomes the most important business for us. Traditionally, we've been selling to the enterprises, companies that have 5000 10,000 and more employees, we now starting to target the midmarket with our AudioCodes live offering as I mentioned before the Casella offering is a managed services offering providing many solutions. We offer it in like a three tier program and we enjoy quite a success in second half of 2020. How do we grow from here on Microsoft Teams? So first is obviously, we intend to grow in the number of articles live users. That's one dimension. The second dimension is trying to scale up in revenue from the essential program to the prop and premium services, where we can charge for more on a per user, per user per month basis. We do intend to introduce new business application services this year. We will shortly announce our recording services. We several times been selling contact center solution from partners. We work with -- we will be providing analytics voice analytics and meeting analytics shortly conversational AI services and more. So all-in-all, this is the main focus of the company going forward. Now to take you to the second priority in the company, which is the contact center market. We -- this is a fast growing market, no question that COVID-19 pandemic further accelerated growth in this space. Right now, about 15% of our business basically are in the contact center market grew 15% last year. All-in-all, this market is a great market for us, very simply a lot of disruption, a lot of room to apply technology. As I have mentioned transition to cloud, I've mentioned work from home, and WebRTC to maintain quality of service. I've mentioned the trend to intelligent contact center that's emerging. That's basically providing a much greater role to conversational AI to deal with customers, inputs and requests. So basically, we are expanding. While in the past our play was majority around Genesis business. We now see more entry into other names in the industry, then basically quite extend the reach of our solution to other contact center vendors. Also, we have changed a bit our strategy that in instead of trying to focus on the [Indiscernible] themselves, such as Genesis, and we've mentioned throughout the years names like five, nine and nice incontact. We now intend to go more towards end users. Some of them prefer to say on-prem and not transition to cloud, and then they find our solution, fairly helpful in allowing them to maintain this on-prem operation. On top of that conversation AI gets a big boost for automatic handling of self-service customer engagement. So we providing you that market, connectivity solution, voice quality monitoring solution, we're about to see virtual agent solution and agent assist solution, all-in-all fairly active space. In terms of revenues, we didn't grow much between 19 to 18. We say, its about $30 million level. In 2020, revenue grew to, close to $35 million, that's 15%. Throughout the year, we didn't broke down yet revenues from different quarters, but we can easily see that we've been stepping up in revenues throughout the year. So ending the year on strong note on the contact center. Obviously conversational AI, that's built to improve customer experience and reduce costs is growing in use. It is estimated that already 30% or 40% of customer prefer to use self-service speech interfaces, not involving a human agent, it is predicted that towards 2023, that percentage will grow to 70%. So lot of room to grow there. Let me touch on our SBC operation, because this is turning to be a stellar performance in our company with a record revenue of growing, as I've mentioned, above 40% in the quarter. All-in-all, as I've mentioned, we will grow to close to $100 million from just $60 million plus last year. The share of sales of SBC into the Microsoft space grew substantially in the fourth quarter. Now it's more than 50%. We have a rather a nice geo split, about 38% of revenues in North America, about 34% in Western Europe, and about 10 to 11 in Asia Pacific and then CALA. We've seen strong booking growth going forward. So we feel very confident in our ability to perform here. On a -- if I'll do the breakdown between product and services, I'll tell you that product grew more than 50% this year, and we also grew very nicely on the services. One very important note to make here is that, as I've told you in the beginning, we put a lot of emphasis on managed services. Just to tell you that in the SBC business line, those services really jumped and almost tripled in the year. So we started from a low number of millions in the SBC managed service, and now we've grown close to three times in that. Also very important, being questioned many times about, what's the portion of software versus hardware. I'll tell you that while we saw a huge increase in SBC in 2020, the hardware portion of it almost did not grow. It did grow. But a very much between five to 10. Majority of the growth really came from the software. And now, virtual SBC, and it's being used in data centers and in the cloud, basically, SBC software solution grew more than 150% as compared to 2019. So give or take, all of the SBC use the same software load, the same technology. It's a great success and the gross margin is really high there. I've just mentioned also on the SBC side that we've seen nice growth on WebRTC as a result of the move to work from home and we've grown more than 50%. So definitely interesting. The last area I'll touch is conversational AI, which is really seems to be our next gen growth engines. It's a very fast growing market with COVID-19 pandemic, definitely driving that with the lockdown situation in many countries in this world. Booking in revenues grew more than 50%. Still we talking about small numbers, less than 4 million, but we do have a target of targeting above 10 million in two years by the end of 2022. Conversational AI business grow fast. It does include three different business line. One is recording services. It's the smartapp, which is a compliance recording, which has got certified about a month ago for Teams. You are the second company certified for Teams. So that sell nicely. We also, as I mentioned before, going to introduce meeting inside in a major way, in Teams shortly. Second line is the Voice AI Connect. Voice AI Connect basically allows chat bot and textbox to be serviced and approach enabled by voice. So, you have today hundreds and thousands of different chatbots used daily. Some could be used as millions. Take a service provider allowing customers to reach out through messaging and WhatsApp and like and messenger. So if you want to allow all the public to access those same services by voice, that's definitely where Voice AI Connect comes in and we enjoy quite a success. Third is our Voca operation, which was very successful this year, growing more than 150%. All-in-all, the technology used in all those three business plan has been homegrown. It's a combination of some homegrown cognitive services technologies. We use in conjunction with some Microsoft and Google and AWS, cloud cognitive services. And above all, our huge experience in networking, telephony and SBC really gives us an advantage as compared to other players in the market. So all-in-all very exciting business. I'll just say that, we definitely intend to grow in 2021, substantially above 50% in this line. So do expect to see it popping to the range of $5 million to $10 million at the end of this year. One more, very important note to make is that we are expanding our solution for Voice AI Connect. While in the past we just offer its connection to cognitive services mainly and to analyze solution. Now we're talking about adding recording capabilities to adding speaker verification and authentication to it and few more technology. So all-in-all, we believe that we will come with a very comprehensive voice subsystem for conversational AI, which will basically leave us fully at the top of the competition. Finally, to complete my presentation, I'll just repeat what Niran mentioned in terms of guidance. So, in terms of revenue we now guide based on results in the fourth quarter and plans for the year. We guiding for a range of between $240 million to $250 million. As to the earnings, as Niran guided, we have announced the range that's a bit wide than before. We're talking about $1.45 to $1.65. Few reasons for rates. The business outlook is good and tracking along the same lines of success in 2020. So we see no different in that. There are going to be two new changes in 2021. One is a big change in the U.S. dollar and New Israeli Shekel conversion rate, which we assume that this will impact the bottom line of our earnings by about 10%. So, unfortunately with the U.S. dollar weakening in Israel, we're going to lose like 7% or 8% in terms of applying it to salaries. And that will results in about $0.10 in the profit. Second, is that we believe that as we enter 2021, our new effective tax rate is going to be raised. And it's going to be raised to a level we predict of 10% to 10%. So that will basically lead to additional impact of about $0.10. All-in-all, we still believe that will keep growing, but we therefore provide a relatively larger band of 145 to 165. And with that, I have ended my presentation. We'll move it now to the Q&A session. Operator?
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions] Our first question is come from the line of Rich Valera with Needham & Company. Please proceed with your questions.
Rich Valera: Thank you. Good morning. Shabtai, first question around your long term top line growth target of 13% to 15%. Just wanted to clarify, are you thinking about that as kind of a 2023 target? Or just what timeframe that is? And then, what specifically do you expect to drive the acceleration of the top line growth over that timeframe? Thank you.
Shabtai Adlersberg: Okay. Yes. The answer to the first question, yes. We view that range is applying to 2023. Where does the confidence come from? So last year, we grew 10%. What drove it was 18% in enterprise and decline of about 10% in service provider. We believe that service provider decline will basically flattened out. So in our plans and assumptions, we do not see the service provider business declining substantially from where it is today. Once we keep growing 17% on the enterprise, you will see gradually every year growth in the top line. So, in our guidance, if you take the mid range fees, 245, that represents roughly 11% growth. And we believe as we will step up into any new single year, you'll see that growing at least to 13%, if not more.
Rich Valera: Got it. And then maybe this one is for Niran. Your product gross margins were very strong in the fourth quarter. And just wondering if you can talk about what drove them to be so much stronger? Was there anything non-recurring in that? And how you're thinking about your gross margins in 2021?
Niran Baruch: Yes. So indeed the gross margin of the product was very high relatively to previous quarter. What drove that is the product mix, as Shabtai mentioned, SBC grew very nicely. And this is a very high gross margin. And most of it is actually software and services. With regard to 2021, as Shabtai mentioned, on our longer three years model, we believe 67% to 70% gross margin is achievable.
Rich Valera: Okay. That's overall gross margin.
Niran Baruch: Yes.
Rich Valera: Got it. And then just a final one for me, clarification on the SBC business. You said I think it grew to close to $100 million. If you could just say sort of what that was on a percentage basis for the entire year. And then, could you clarify what percent of SBC was in fact software this year? It sounds like that percent must have gone up based on what you said. But just wondering if you can provide the actual percentage of SBC revenue that was software based in 2020?
Shabtai Adlersberg: Right. So yes. First, yes, we have approached the $100 million level in SBC. That's a number. I don't have here with me, the right split between so for an hour. But again, I want to urge you to change a bit the way it's being perceived. Guys, listen, all of our hardware was developed seven, 10 years ago. Okay. It's 1000 million 800 [ph], a long lists of hardware products. But that is something that was developed. And we do not engage in it. Just to give you an idea that out of 350 employees in R&D, there are about 15 guys in hardware, all doing fixes and the flag issues, et cetera. And the load is one load. We do release a new workload every seven to nine months. And that's basically a load that's going to be sitting on everything, both into virtual machines that's running on public clouds, on data centers, and then running on top of hardware. On hardware, that new servers that were designed several years ago, but still the customer pays for the intellectual property, the SBC naturally for the hardware. So, all-in-all, I think as time goes by -- and one more by the way, very important point to make. When you're talking about data centers at premises and/or in the cloud, you talking about software. And this is what we sell. We sell virtual software. However, when you go to offices, when you go to branch offices, which every large company has, there's no way. If you want to optimize cost and efficiency for those branch offices, you need to use a hardware device. That's how the device is going to include a firewall, a router, and SBC switch and few more. So calling this an SBC hardware is really doesn't make sense. It's all about software. So that's the way you should look upon it. And I'm not mentioning the gross margin, but you can bet that the gross margin on the hardware and software combined is very, very high, north of just throw a number, north of 80%, 85%.
Rich Valera: Right. Okay. Thanks for that clarification. And I'll pass it along. Thanks.
Niran Baruch: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Raimo Lenschow with Barclays. Please proceed with your questions.
Raimo Lenschow: Thanks. Congrats on a strong finish to the year. Shabtai, can you go a little bit deeper. When you say you on the CC side, you want to go closer to the end user and talk more on that little bit on premise focus client as well. That sounds to me more like Avaya type customers. Do I read that correctly? Like, how do I have to think about that strategy? And then I had one follow up.
Shabtai Adlersberg: Okay. So yes. We've not mentioned names. And this is not really limited to one player or more. I think when you going to large end users, you find probably some resistance in moving the solution to clouds, simply because in terms of cost, is going to be substantially more expensive for them. So large companies do not necessarily rush to move to cloud. Still the more advanced solution are going to be applying into the cloud. So some of these end users find themselves with a need, let's say for WebRTC, just to provide high quality of service to their own based agents. And/or, they need to use conversational AI just to be able to automation of customer calls and self-service. So we find a need in the market, and not only with the name you have mentioned, to really be able to upgrade the capabilities of on-prem solutions. And we've seen large number. I mean, I think, more than 10 just in the second half of 2020. So we believe this could be a trend that we can work in. And by the way it happen also with Genesis accounts or other accounts, that's the trend.
Raimo Lenschow: Yes. Okay. And then, how do you on the Team side, how do you think this will play out? Like, in terms of where are we in terms of your penetration on new Teams deployments? And where do you see that overall Teams trend going? Thank you.
Shabtai Adlersberg: All-in-all as I've mentioned, we've been growing nicely in terms of our quarterly sequentially in new accounts on Microsoft Teams. And actually looking into the chart in front of me, relatively the pace of Skype for Business customer moving into Teams is kind of flat. So we're talking about more than 100, I would tell you, more than 100 accounts a quarter moving. But then on your accounts and Teams we see like about 20% growth in terms of number of new accounts. So it's going forward. And again, I want to stress the point I was making that, while Microsoft was very explicit in convincing customers to use Teams for collaboration and meetings, there was no much pressure on them to move to Teams voice and the customer could have keep using his old PBX. As conversational AI capabilities grow, meeting capabilities grow, there will be anybody that stuck with an old PBX will just add few more dollars for his license and we'll move into a more comprehensive advanced voice solution. So, we believe that we should see -- I don't think we'll have a problem keeping up with the 10%, 20% growth per year in Microsoft Teams.
Raimo Lenschow: Yes. Okay. Perfect. Thank you, Congrats.
Shabtai Adlersberg: Sure. Thank you.
Operator: Thank you. Our next question is come from the line of Ramsey El-Assal of Jefferies. Please proceed with your questions.
Samad Samana: Yes. Sorry. This is Samad Samana. Not quite sure where Ramsey name came from. But thanks for taking my questions nonetheless. And congrats, again, on a strong finish to the year. Maybe just the first, Shabtai. On the Skype for Business installed base, how much of that do you believe is left to convert over to Teams for voice? And what percentage do you think realistically you could convert over to Teams for voice?
Shabtai Adlersberg: Tough for me to answer that question simply because one needs to assume that will be certain portion of the end user would rather stick to on-prem installation and not move to the cloud for many reasons. It could be security and others. And quite frankly, I don't have a very detailed analytic tools that would allow me to look into the specific accounts. It's a trend. I can tell you -- the only data points I can give you is that as I mentioned before, that it has been growing throughout the year. In the last two quarters, I see that number of old Skype for Business accounts flattening above 100 and some. But really have no idea on how it's going to keep. But we'll reporting, that's the only thing I can do.
Samad Samana: Great. And this one may be for Niran or for you or whoever wants to take it. But we appreciate all the disclosures that you give around kind of full year numbers and growth rates. But is there any chance or is there any philosophical thought around giving, reporting the dollars around how big your Microsoft business is kind of more precisely on a quarterly basis, just given that that's -- as you noted that that's the most important part of the business on a go forward basis. We're just seeing if we'll maybe get more color on that on a consistent basis in dollar terms going forward?
Niran Baruch: Yes. So, Samad, hi. We are not providing it on a quarterly basis. The numbers we provide are not audited by our auditors. They are based on internal reports that we have. So we can provide it historically on a quarterly basis.
Samad Samana: Got you. And then maybe just a last question. We saw the news around the buyback extension. Just curious, maybe more broadly speaking, what the philosophical approach to that will be? And how we should think about the execution of that or just maybe the logic behind asking for an increased buyback?
Shabtai Adlersberg: Right. So the idea is that sometimes the market gets irrational, right? I mean, we all know those times. And we have our view on the fair value of what we do compared to the value of other assets in the market. And when we'll find it beneficial for us, we will engage on the buyback. It's not that we intend to go for the same strategy when we at. We're going to count the multiples, et cetera. But all-in-all, I'll tell you that we are -- I'm glad to say that we are big producers of cash flow before paying the $10 million or $11 million to the Israel Innovation Authority, we have produced about $50 million. One of our board members told me, it's a half of a offering, right? So we producing a lot of cash. In terms of cash allocation and I've been answered that question a few times, priority goes into M&A then to dividend payments and then to buy back. And again, we will weigh the situation over time and decide accordingly.
Samad Samana: Great. Congrats on the quarter and nice to see the stock having a strong move this morning. Take care.
Shabtai Adlersberg: Thank you, Samad. Thank you.
Operator: Thank you. Our next question is come from line at Walter Pritchard with Citi. Please proceed with your questions.
Walter Pritchard: Hi, thanks. I'm wondering if you could just talk to, you mentioned some pullback from the selling into the UCaaS providers and instead focus on the end users. So you just talk a little bit about that decision? And how you're seeing as the Teams adoption goes forward? How you're seeing customers choose conductivity options there? And if there's been any change relative to what you've seen more recently?
Shabtai Adlersberg: Yes. I think there's some confusion. I've not mentioned that in conjunction with UCaaS. In UCaaS, well, A, in UCaaS we do it for a long time, right? I mean, we selling sometimes indirect and/or direct to the end users. Is certainly what I've mentioned on the call related more to the contact center market, where I go to market up to the last year was substantially on working with the vendors themselves to reach to the end users. We've found that with the more I would say -- the move to cloud, which really moves the world from being an on-prem market to being a twofold on-prem and in cloud market. We found that in order to service better, the on-prem portion of it, we better develop a direct go-to-market for those. And obviously, you can imagine that we will use the same sales force. At this stage, we have more than 200 people both in terms of salespeople in pre sales, and any sales manager getting into account would be able to sell not only a UCaaS solution, but also a contact center solution. So that's -- it's not -- and one big clarification, we're not selling contact center, guys. I mean, let's be very clear about it. We do sell complimentary technology and solution that helps to improve. Okay. So we selling WebRTC. We're selling our SBC for access. We're selling a technology called Click-to-call is allows calling over the internet. We will be selling conversational AI. So those were -- those will be the type of solutions that we will be selling.
Walter Pritchard: Got it. And then just I guess, relative to Microsoft and Metaswitch, in terms of their own offerings on that, and you talked about your SBC as a service that rolled out in the quarter. What are you seeing in terms of the market with the customers looking at those different offerings and understanding it's quite early?
Shabtai Adlersberg: We haven't seen any of that. Quite frankly and not seen, we may. But right now, we are developing our own offering. As you've heard, we develop SBC as a service approach. We're developing managed services approach. We believe this will be competitive even if ever you know that happens.
Walter Pritchard: Great. Thanks for taking my questions.
Shabtai Adlersberg: Sure. Thank you.
Operator: Thank you. Our next question is come from the line of Tal Liani of Bank of America. Please proceed with your questions.
Tal Liani: Hi, guys. Good morning. Good afternoon. Few questions. First, can you give us an update on Zoom? You had an announcement before. I just want to know, what's the experience so far? Second, can you -- I want to understand how it works with Microsoft Teams. And sorry for the very basic question. But how does the sale cycle happen? Meaning, do you sell to them? Or do you sell to the enterprise? Who's selecting the technology behind it? I just -- I'm trying to understand the drivers. Maybe we'll do -- we'll take one by one. We'll do these two and then I'll ask my other questions.
Niran Baruch: Okay. As related to Zoom, we have a thin layer of Zoom phone activity earlier in 2020. But towards the fourth quarter, we've seen some uptake. We also been reported that we see more opportunities coming up in 2021. Zoom announced about few weeks ago that they've reached a level of 1 million Zoom phone users. So, we do expect that going to 2020 to 2021, we will win more Zoom phone accounts. I think the only thing that's left is really to wait for the next six, nine months and then provide more information. But we'll definitely see change from 2020. As to Microsoft Teams, always, the discussion is at the end of the day with the CIO and the IT manager of the end users. And basically, he is the one that's making the decision. How we fulfill that? Usually, it's been fulfilled by partners. So we have partners in the field, which based on the final solution proposed to the end users. That end users is buying the equipment in voice solution from the partner, and the partner in return buys it from us.
Tal Liani: And in your view, what's the win rate? Or can you tell us about the competitive landscape in these kind of accounts?
Niran Baruch: We believe that due to the fact that we have captured over the years to develop a very comprehensive portfolio not only product, but really solutions, where we combine several products and add on top of them a management solution, a recording solution, and analytic solution and few more, lately, also conversational AI of Voca type. Our offering is substantially more comprehensive than competition. The only competition we had in the past is now seems to be focusing much more on service provider business. So, quite frankly, I think we're doing fairly well in this Teams environment. No tough competition, always competition, but not too strong.
Tal Liani: Great. Shabtai, two more quick ones. One is, can you discuss the environment in 2020 and the sustainability? Meaning, in 2020, employees started working from home. We had to invest in collaboration tools, Teams one of them. Do you have concerns that you have tougher comps for 2021 and that corporates bought what they needed, and now they can slow down? Any concern about sustainability of what we've seen in 2020?
Shabtai Adlersberg: I'm an optimistic guy, so tough for me to be pessimistic on this. I'll tell you the following. Okay. In contact center, it's pretty obvious that we just started a completely new cycle, right? Work from home, we've seen WebRTC growing substantially faster, conversational AI is growing fast. Same for our SBC solutions that need to support cloud migration. So in contact center, we really are in the first inning of the thing. As we go for Microsoft Teams, again, I have no reason to believe that we will "see" customer already got their needs back in 2020. And there's no more accounts. Quite frankly, as I mentioned, only about 10% of Microsoft Teams users have applied Teams voice. And we believe that's a huge, huge growth area for us. So I do not share. But again, we will go through the year. But in every single quarter since the beginning of the year, we've seen growth. I've mentioned we grew in fourth quarter 30% over the third quarter. So right now I have no evidence that it's slowing or changing.
Tal Liani: Got it. My last question is a stupid question. Not that my other questions were very smart. But in your press release, you mentioned, just you went through -- that's what happens when you get a COVID vaccine. That's my last question is, you mentioned in the press release that you've got court approval for buyback. Stupid question, just to understand the law -- to understand the kind of the procedure. Why is there court's approval? Why can just the board decide? I don't know how it works with Israeli companies?
Niran Baruch: Hi, Tal. This is Niran. In Israel, whenever you would like to distribute dividend or to do buyback, you need to file an application to get the court permission for that. Unless you have sufficient retained earning over the past two years. If you would go to our GAAP financials, you will see that we already bought back or distribute dividend more than the two years gap profit. That's the reason.
Tal Liani: Got it. Thank you. Congrats on a great quarter.
Shabtai Adlersberg: Thank you.
Operator: [Operator Instructions] Our next question is come from the line of Robyn [Indiscernible] at Focus Capital. Please proceed with your questions.
Unidentified Analyst:
 standards: So this is my question, the competitive dynamics there. And is it correct that your solution would not believe it if they roll this UCaaS alternative? Thank you.
Shabtai Adlersberg: Right. You're definitely right. Okay, definitely this competition arising from the middle of 2020 by UCaaS other UCaaS players such as ringcentral, an eight by eight, telling customers, okay, you have settled on Microsoft Teams. But for telephony, either you already using mine, or you want to use mine instead of using, Microsoft telephony in order for you a solution. I'll tell you that that is a fair competition. But I will tell you that I believe that long term, the capabilities and the services that we are offering for Microsoft Teams, voice and telephony, will super see those offered by other companies. Businesses voice, this is the only thing we do. And just we coming out with meeting inside, I don't think you will see any comparable capability in other companies. So yes, it's a competition we know how to fare.
Unidentified Analyst: Thank you.
Shabtai Adlersberg: Sure.
Operator: There are no further questions at this time. I would like to turn the call back over to management for any closing remarks.
Shabtai Adlersberg: Okay, well thank you, operator. I would like to thank everyone for attending our conference call today. With continued good business momentum and execution towards the end of 2020. We believe we are on track to achieve another strong year of growth and expansion in 2021. We look forward to your participation in our next quarterly conference call. Thank you very much. Have a nice day. Bye bye.
Operator: Thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time. Have a great day or a great evening.